John Hamilton: Thank you for participating. Greetings from Oslo. This is John Hamilton, Chief Executive of Panoro. And I'm joined this morning by my colleagues Qazi Qadeer, our CFO; and Richard Morton, our Technical Director. As usual, I'll take you through the presentation of our first half results and some operational updates, and we will open up for some questions as well towards the end, if there are any. As a reminder, today's conference call contains certain statements that are, or may be deemed to be forward-looking statements, which include all statements other than statements of historical fact. Forward-looking statements involve making certain assumptions based on the company's experience and perception of historical trends, current conditions, expected future development, and other factors that we believe are appropriate under the circumstances. Although we believe the expectations reflected in these forward-looking statements are reasonable, actual events or results may differ materially from those projected or implied in such forward-looking statements due to known or unknown risks and uncertainties and other factors. And for your reference, our results announcement was put out this morning and is available on our website, panoroenergy.com. Next slide, please. So as a reminder, you are able to -- sorry? Small technical difficulty. Can -- Qazi, can you hear me?
Qazi Qadeer: I can hear you, John. Yes.
John Hamilton: Yes, sorry, I had a small technical wobble there. I'm back now. So as a reminder on housekeeping, if you have a question at the end, you can either, on the left you can kind of raise your hand and try and unmute your microphone, or if you have a question that you'd rather type in, you can type it in and we'll endeavor to answer all those questions as long as we haven't already announced -- answered a similar one, or if there are too many or some that are more particular, we'll endeavor to deal with those offline. I will remind you of how this works at the end of the presentation as well. Next slide, please. So here's a summary of our main headline results. In the blue, we have the first half highlights. As you can see, our production has increased by material percentage as compared to last year, which is expected and in line with our production growth through the development activities that we've undertaken. And our revenue also is more than doubled as compared to the previous period last year, identically with EBITDA, and our net profit is far in excess, so we're seeing a very strong trend as compared to last year. Our second quarter highlights are in orange, and those are as compared to the first quarter of this year. And you're seeing, on the production side, lower production in the second quarter, which is largely due to the extended shutdown in Gabon at Dussafu, which was flagged. It went on for about a week longer than originally planned, but it was, in any case, flagged that there would be this shutdown at Dussafu, which has impacted the quarterly production number. And then on reported revenue, EBITDA and net profit, they are more or less identical first quarter-on-quarter, reflecting the liftings that we had. And on the balance sheet side, we have the numbers there, which are hopefully showing a modestly geared company with decent liquidity. Next slide, please. So we've announced this morning a NOK50 million quarterly dividend, identical to the past few quarters. We're also showing the evolution of that distribution, again in the form of return of paid in capital rather than a dividend. And cumulatively, NOK200 million -- NOK290 million since we started. And also we're showing on the right, the progress we've made on our commencement of the share buyback program, which commenced in May of NOK28 million, with still quite some way to go until the end of the year, which is the current expiry of that planned program. So we're well underway in terms of our shareholder distributions, and I think that consistency is hopefully recognized. Next slide, please. So this is the bit of real new news, and I'd like to stop here just for a second and talk you through this. There's a lot of information on this slide, but this morning we're announcing that on a gross basis, the reserves in Dussafu have been increased by 23.1 million barrels as at -- as compared to the last ASR we put out in March -- sorry, in April. And this is a result of the drilling program that we've had. So in Gabon, as people who followed us will know, we drilled two new areas, the Hibiscus South Extension, which was put on stream in August, and the Hibiscus Northern Flank, which is currently drilling now as a development well. But these two sort of new discoveries have really increased their reserves attributable to Dussafu is continuing to show that this Hibiscus area is really quite prolific. So what we did was working together with BW Energy, who've done a great job on these discoveries. We have commissioned our third-party reserve auditor to look at the impact of those new discoveries in terms of the reserves. And we have a preliminary report. Now there's still some smaller things that need to be done. The preliminary report, which suggests that the contribution of these new areas probably added something like 23 million barrels to the gross reserves on a net basis to Panoro, that's 4 million barrels of additional reserve as compared to our year end numbers. So this is very material to Panoro. BW Energy and ourselves have obviously guided that these additional reserves have been found. However, this 23.1 million number is materially higher than those numbers guided before. So this is the first bit of new news, and it again serves to underline that this area that we have in Dussafu, this prolific area, where we have an 89% success rate in finding new oil in this rather large block. But there's still lots of running room to go. We still have something like 142 million barrels of prospective resources. We have 2C resources and we have the Bourdon well, which is part of this current campaign, which I'll come back to. So Dussafu is the gift that keeps giving. We're very, very pleased with this development and indeed on the reservoir quality that we've encountered on these two new wells. So very, very happy with this. And this is the -- I think, the only real bit of new news in today's news. Next slide, please. So, staying on the exploration front, we've had that success in Gabon, but we actually have an activity rich period of four, five months coming up. The first will be the drilling of the Akeng Deep well in Equatorial Guinea. This has been well highlighted in the past, but this is to say that we'll probably spud this in October, maybe results in November, something like that. This is well operated by Kosmos Energy. We're testing a deeper play opening Albian sand there within tieback distance the FPSO. And the materiality of this is very high. It's a 180 million barrel mean gross on risk structure that we're looking at and that if we do find that we find good reservoir charged with oil, that this is a play opener. There are many other similar Albian structures in the area, I think, and it has a very positive read across to our operated block EG-01, which we're willing with Kosmos as well, just to the east of that. So this is quite a big one. It is proper exploration. It's about a one in four chance of success, but it is very high impact and it's infrastructure led. It will allow us to tie back into the FPSO quite quickly if we do find anything. So that's something that's quite proximal. Again, we should be in the fourth quarter, be drilling and reporting news on that. And then in Gabon, we have the Bourdon prospect, the old prospect B for those who've been around for a long time, and this is now part of the firm program. We've extended the rig contract with Borr Norve to accommodate various ESP replacements in the production wells we're drilling, but also to drill this Bourdon well. So you'll see this in the early first month or two of January, February 2025. So we have a very catalyst-rich exploration program coming up. Next slide, please. I'm thinking a little bit more about the longer term and making sure that we're replacing reserves as we produce them. We have had some initiatives. These are not new news, but I'll just update you that on Block 23 in Equatorial Guinea, we have an MOU signed with government. We're hoping to sign that PSC in the next month or two. This is a very nice block in the north of the country, which is near infrastructure. It's just north of the Alba field, which is operated by Marathon Oil. It's the largest producing field in the country, 1.2 billion barrels already produced, with production in excess of 200,000 barrels a day at its peak. And we're just to the east of the Zafiro field, which is operated by Exxon, with over 1 billion barrels recovered to date, and peak production in excess of 250,000 barrels a day. So we've got a very nice little piece of real estate there. This is not a near-term catalyst in terms of drilling, but again, looking to the longer term. And the same is in Gabon. We announced this already quite a while back, but as a reminder, we are working together with BW Energy and Vaalco on securing blocks G and H, which surround the Dussafu area we were in, and also the Etame area, which Vaalco operate, and looking to really secure this whole area using the existing infrastructure that we have in both those developments to develop any oil that we find there. So we think we're doing the right things for the company by taking some lower risk exploration assets in that aren't going to cost us a lot of money either, but very much positioning for the future. Next slide, please. So we talked a lot about exploration. We are very much a production led company. That's the way we define ourselves. And here, we have the quarterly buildup. You can see in Q2 the drop off due predominantly to the shutdown in Dussafu. At the moment, we're producing around 10,000, 10,500 and we've got quite a bit to come in the remaining months of the year. We have the Equatorial Guinea Infill Wells. We have an additional well in Dussafu, which we're drilling now. We have the restoration of the wells that are currently shut in with failed ESPs on them, that are the next bit in the program. And that should really see us coming to excess of 13,000 barrels a day during the course of this year. So we're still very much on track for that. We are slightly behind timing wise. We've identified today that we'll be slightly below the bottom end of our guidance range. That is purely a function of timing rather than reservoir, performance or anything like that. We find it, obviously, in a period of -- we've got two drilling rigs in our biggest countries, we're busy with development activity, and trying to define a sort of a calendar year production number is tricky. And here the reasons are set out below in those last bullet points. The first is very much a positive reason for it, which is that we have prioritized the development of these two new discoveries we've made. And those development wells take a little bit longer than simply replacing an ESP. And I think so there's been a little short-term pain for long-term gain to get these brand new wells on stream that produce like a train when they come on. And I think BW have done a great job in terms of the sequencing of that program, but it has meant that we've sort of deferred the replacement of these ESPs while we get these brand new wells online. There's a slight slippage in Equatorial Guinea, maybe a month from our expectation, not major, but nonetheless, that impacts that number a little bit. And in Tunisia, we've experienced some regulatory delays, which has impacted kind of the timing of workovers that we would normally ordinarily do. I'll come back to that one a little bit. So, again, very strong trajectory still to come for the year, where we hope to get towards in excess of 13,000 barrels a day. Next slide, please. Our lifting schedule is largely unchanged, so there's been some movement in our production numbers, but our lifting schedule is materially unchanged. We had one small lifting in Tunisia, which probably slipped to January, it was originally thought to be in December. We'll continue to update this slide, but at the moment we think that we'll probably lift 3.5 million barrels this year, which is about a 35% increase from last year. And liftings equal revenue recognition, equal cash flow. So this is the importance of the liftings. You can see the fourth quarter is quite an important quarter for us, where third quarter is a little bit muted compared to the fourth quarter, but again, the message here also is that even though there's variability quarter-to-quarter, it's much steadier than it is last year. And that has to do with the way that we've amended our lifting program together with BW Energy and Gabon we were lifting together, whereas last year you can see it was lumpier, this year and looking into next year, we expect the sort of equivalent type of pattern next year. Next slide, please. We always show a debt and CapEx slide. On the debt side, we're about $70 million. We have reserve based loans. So this is not bond. This is -- we've got a very potential amortization over the coming five years. It's a very good structure for the company to have. It's working together closely with our lending banks who understand our business. We have, I think, a very appropriate instrument for our company with what I feel to be modest gearing, appropriate gearing for this company. On the CapEx side and the first half of the year, we spent approximately $48 million in CapEx. This is predominantly Equatorial Guinea and Gabon where we have drilling activities going. We've guided $75 million for the year is our guidance. And our preliminary guidance, based on initial early look in terms of next year's budgets, probably suggests a material dropping off of CapEx to around $40 million next year. That number will be refined as we get a little further and closer, further in the year and closer to 2025. That's our first view of that. So the message very much is next year we should be coming into that stronger production number with a halving of CapEx. So free cash flow should be quite strong next year. What we are seeing in 2024, however, is higher drilling costs and we've got an expanded drilling program in Gabon obviously drilled two more wells. We've extended the born over out and Equatorial Guinea. Obviously we've had some change in the drilling program there that is having some upward pressure on that $75 million guidance. We're not providing new guidance as yet, but there will be some upward pressure on that which we hinted at already in the first quarter results in May. And so we'll come back once we figure out exactly what that number is, but there is some upward pressure on that number. Next slide, please. We do a cash flow reconciliation from the beginning of the year. I won't dwell on it simply that we ended the quarter at $43 million cash after having paid out distributions to shareholders, including the buybacks of $11.5 million. So again, I think we try and provide this transparency every quarter. I won't dwell too much on it unless there'll be some questions in the Q&A on it. Next slide, please. So at Dussafu, we touched a little bit on the great news around the two discoveries, the reserves associated with them that being Hibiscus South and Hibiscus Northern Flank. I've already touched on the Bourdon prospect that will be drilled in the first days of the new year. What is the current situation of Hibiscus South Extension. That discovery was brought online in August. We've already announced that at very strong rates, we're very pleased with the reservoir performance there. It's probably at the moment exceeding expectation, I'd say. I think we try and basically say it's consistent with our expectations, which are good, but as well as so far a fantastic well. And it has a brand new conventional ESP in it, which is the first of the new ESPs being put in. And to date that's working just fine. In the quarter as well, back in April, already announced that we drilled the Ruche well that will be put on stream with a conventional ESP as part of the program this year. And what we're currently doing is we're drilling the Hibiscus Northern Flank. So again, BW, we think, have done the right thing, prioritize drilling out this -- this new discovered area with a new production well on it, rather than going and replacing ESPs as a first order of activity. Again, that's created a little short-term pain in the sense that that we're not replacing ESPs as quickly as we had originally thought. But it is the longer term gain in getting a brand new well in, which should have some decent initial production rates on it. And the benefit of that is that we now will have a total of eight wells once they're all online in this area, which is originally going to be six. That eight wells allows us to sit at the plateau rates. We're looking at 40,000 barrels a day. For longer, it allows for us to manage that production over that longer period of time. So we've effectively taken two wells from the next phase of the Dussafu development, which most analysts will have in their financial models. We're taking two wells from there and putting them into the front end of this. So the capex is coming into the near term rather than a couple years from now, but that's really going to allow us hopefully to sit at plateau for quite a long, longer period of time than originally modeled. So again, we think it's a very positive development. And the Borr Norve contract has been extended until February, which is allowing us to then, after drilling the Northern Flank, to go in and replace ESPs on the wells that are currently shut in. So we still have some latent wells that still need to come online with ESPs that are currently shut in. And ultimately, the goal here is to replace all of the ESPs with conventional ESPs. We have secured the delivery of all the conventional ESP systems, so now it's just a matter of executing those. Each of those operations takes approximately three weeks to do. So hopefully, this expanded program we have with Borr Norve, the born over, will allow us to do all of that activity. Next slide, please. Equatorial Guinea, again, very busy, slightly delayed drilling program. There's a picture there of the Noble Venturer, which is the drillship that we have currently drilling there. We are starting with that first red dot right in the middle, the Ceiba infill well. That well has been successfully drilled. It's busy just finishing up the completion, and it should be on stream in the next two weeks or so. From the drilling results, a very promising initial results. We've encountered reservoirs in line with our expectations. And now we're just finalizing the completion of that and the tie back to the vessel. So that should be on line in the first half of September. And the second infill well is then just starting to be drilled in Okume, and that should be on stream, we estimate, in the middle of October. And the rig will then in October, move from that well to drill the Akeng Deep exploration well that we touched on earlier. So it's a very, very busy program going on in Equatorial Guinea at the moment. Next slide, please. Tunisia is -- we experienced some delay in activities there. We have a country which is going through an election process now. Regulatory approvals for workovers and sort of standard things that we would normally be doing have been -- the timing of that has been impacted by sort of political delays, regulatory delays, and signing off on certain things. And so we're seeing some softness in Tunisian activity, which is filtering through to the production numbers that you'd seen. We have still very strong views in terms of the reserve position we have there, the opportunities to do more. We're having to deal with some frustrating delays at the moment, which are impacting our ability to execute work programs as quickly as we would like, and we'll continue to update the market on that. So a little bit of softness in Tunisia activity at the moment. And the final slide, please. So, just to sum all that up, we're looking still to get to 13,000 barrels a day as planned during the course of the year. That hasn't changed. We have a very strong portfolio, well diversified portfolio of oil assets with further activity in the years to come as well on what our established reserve position is. And in the middle column, we're very, very proud, together with BW, to have continued to show what a world class asset this Dussafu asset is through these two new discoveries, and bringing those wells online very quickly, just shows the quality of this asset in shallow water. We have some more impact -- high impact drilling cattle is coming at Akeng Deep in October, November, Bourdon in January, February, which again are exploration wells. They have risk on them. These are higher risk than some of the things we've been drilling recently, but nonetheless are impactful to the extent that either one of them or both of them could come in. And we're expanding our acreage in core areas through some of the longer term exploration, lower cost exploration activities that we have. We are continuing with our shareholder distribution plans as announced today, with quarterly cash distribution in the form of return in share capital. Share buyback is ongoing and we do continue to look at growth opportunities outside of our current portfolio, and where there are accretive things for us to do, we will continue to evaluate those. So I'd like to now turn it over to questions. And as a reminder, you can raise your hand and we will try and unmute you, or you can type a question in. My colleague Andy is going to Chair this and I think we'll try to make sure we answer all your questions. If we cannot, it probably means that the question has already been answered in the previous question. Or we point you to investors@panoroenergy.com, if you would like to send an email question, we'll endeavor to answer anything that we can. So I'd like to open this up now to any questions you may have.
A - Andy Scott: Thank you, John. The first question has been submitted online. In addition to the chance of success you stated for Akeng Deep earlier, could you comment on similar for the Bourdon prospect? And could you provide any further comment, please, on current production rates in Gabon and status of the producing well stock there?
John Hamilton: Sure, I'd be happy to. Richard, do you want to talk a little bit about Akeng Deep chances of success, Bourdon chances of success, what we -- what the chances of success are and any -- what the risk factors are on those wells? Richard? Can you hear us? Richard? I can see you're unmuted, but I can't hear you. I can't, at least. I'll go ahead and answer the second question first and then we'll come back to that one. Yes, it's a good question on the state in Gabon. It is -- it's kind of always changing, so it's kind of hard to really give an instantaneous update because things change quite quickly. But what we have at the moment or still to come are two new wells. That's the Ruche well. We'll have its pump put into it and we'll have the Hibiscus Northern Flank with brand new wells to come online between now and the end of the year. And in addition to that, we have two wells that are currently offline in Hibiscus, waiting for the pump replacement. So those will be prioritized immediately after the drilling of this well. So that is the current sequence we will be addressing, this brand new well, and then we'll be looking to get the latent wells online as the next order of priority. Richard, for some reason, is struggling with his microphone, I think. Bourdon, chance of success is quite high in the Gamba. So there are two structures we're looking at, at Bourdon. I would say it's about a 50% chance of success to find Gamba sand. But deeper Dentale has got more like a one in three chance of success. But the well will target both of those reservoirs. So one or both could come in. The chance of success in the Gamba is still reasonably good, 1 in 2, 50% chance of success, one in three for deeper Dentale. The risks here usually are just -- it's not oil. There's a lot of oil in this area, just like there is in Akeng Deep. It's a question of finding it in the right reservoir setting, reservoir quality, and -- but again, with Bourdon, so higher chance of success in Akeng deep because it's a very known reservoir. We know the Gamba, we know the Dentale. The higher risk in Akeng Deep is down to the fact of going for a new deeper reservoir than the prolific reservoir that's produced in the area. So again, in Block G, in Equatorial Guinea, those fields that we're in now produced collectively almost 500 million barrels today. We're in a very, very oil rich area. Question with the deeper reservoir is whether the oil has found its way into a decent quality reservoir in the deeper section. Hopefully that answers that question.
Andy Scott: Thank you, John. The next question is from Stephen Foucaud. Stephen, you are unmuted. If you could please go ahead with your questions.
Stephen Foucaud: Good morning to all. Thanks for taking my questions. I've got two, really. The first one is about the reserve increase in Gabon. And I was wondering which of the two Hibiscus South or Northern Flank was the largest contributor to that reserve increase, maybe an idea of split. And more interestingly, looking at the CapEx next year, so I appreciate it's going down a lot logically. Could you give us an idea of the focus of this CapEx and whether could maturity change in the context of a potential exploitation success either in EG or in Gabon? Thank you.
John Hamilton: Stephen, very good questions. So the approximate reserve split between the two discoveries is roughly 50-50, like 11% and 12% or something like that. What we found when we came to drill a development well in Hibiscus South Extension was we found we got a couple extra data points from the original test well, that basically showed a bigger structure, higher structure. There is upside from these numbers as well. That's kind of a 2P number. The 3P numbers are even bigger. So very, very pleased with that. I personally think these areas could both be even bigger than this. It will require a little extra data. First, well performance data, and we're drilling now into the Hibiscus Northern Flank where we'll get some additional data again that may -- may impact these numbers again positively. So -- but roughly at the moment it's a 50-50 split. Your question on CapEx next year, look it's a little bit still crystal ball. We're starting to have initial discussions with -- within the various joint ventures we have. The CapEx for next year comprises a couple things. I'd say, one is we've -- we're extending that rig contract with Borr Norve until the end of February. So we're still going to be sort of finishing up the Gabonese program still leaking into 2025. We do think that some of the CapEx for Equatorial Guinea, some of that may fall in 2024, but there may still be some residual from that drilling program that still leaks into 2025 in terms of when the invoices come and the cash calls get made, which is when we recognize the CapEx spent. And the second category would be in Equatorial Guinea, where there are always ongoing sort of non-recurring things. It could be -- it could be productive activity. So in other words, working on certain wells, trying to improve production on various things, but it can also be around facilities maintenance, things that are less sexy for -- for the stock market, but are important, obviously, for the longer term health of the business. So it's a combination of those things. In Tunisia, we are not expecting a huge amount of CapEx, but we're budgeting some anyway for Tunisia as well, principally around workover activity. Could it change in exploration success? It could. I don't think it would change materially. I think it'd be more like long lead items. So if we make a discovery and there's a decision perhaps to develop Bourdon or Akeng Deep, that development activity is not going to start in earnest until probably 2026, right? But we might have some long lead items. So it could -- positive results in those exploration wells could result in some CapEx uplift there. But at the moment, in our crystal ball, we don't see a huge amounts of deviation from that number. But we'll continue to update the market. But the main point, obviously, is CapEx is roughly having next year, and I think that that number is a good solid number at the moment. Could be a little bit less even, but I think it's a solid number at the moment. Hopefully that answers your question.
Stephen Foucaud: Thank you very much.
Andy Scott: Thank you. The next question is from Teodor Sveen Nilsen. Teodor, you're unmuted. If you could go ahead and ask a question, please.
Teodor Sveen Nilsen: Good morning and thanks for taking my questions. First question is on -- John, you comment on that current production for the company is 10,000 to 10,500 barrels per day. I just wonder what should be more or less exit rate for 2024? And the second question is on your distribution policy. Could you just take me through how you think around the mix between dividends, cash dividends and buybacks, and how that should be in the long-term and also potentially how that will be impacted by the share price? And final question, slightly technical one. I just wonder what explains the deviation on the revenue line compared to what you announced in your trading update? I didn't see a note on that one. That’s all from me. Thanks.
John Hamilton: Sure. Exit rate, I mean, we -- we're looking at getting the portfolio up to in excess of 13,000 barrels a day. So, if you want to model an exit rate, I think that's probably a good one to put in your models. As you can see, we -- if I top them all up, we have six activities between wells drilling, so brand new wells and wells that are currently shut-down in ESP. So if you have them all up, there are six wells that effectively are yet to come on. So, we're seeing that production growth coming from those remaining activities during the course of the year. So if you have to model something, I'd stick that in for now. We'll obviously update people as we get along and make progress towards that. Obviously, that number could happen quite a bit earlier than the end of the year. But if you want an exit rate, I think that's a good place to set your sites for the moment. I'll let Qazi come back to the revenue line question, but on the shareholder distributions, we're still sort of in the early days of this, and we listen to shareholders. A lot of shareholders have a lot of opinions and they are good opinions. But at the moment, I think what we've decided is that good, predictable quarterly dividend is the right way to go, rather than have big fluctuations in quarterly dividends. Obviously, as we come to the end of a sort of a dividend calendar year. So that'd be the February full year results. Obviously, we can look to top up a final dividend, if that's appropriate. But I think we like the concept of just a steady dividend, which obviously can increase over time if free cash flow is there. But at the moment, we -- you quite like this NOK 50 million quarterly. And how we look at it with the mix of the share buyback, I mean we've only just started the share buyback, so I have to admit we're still trying to understand how it works. But I think the view that we have and some of our board members have been involved with companies that have had long standing buyback programs that have really had a success. And I think the message comes out is, look, it's not a -- it's not really a party trick where we quickly buy back some shares and hope that we get the share price up. But it's really just a sort of long-term tool that we will use as we start generating additional free cash flow. This year is obviously still a year in which we have heavy CapEx. Next year, that starts easing quite a bit. But as a long-term tool to buy back shares, obviously to cancel those shares when we get to our AGM, a reduced number of shares in issue and increase NAV per share. And that's kind of the philosophy. How that mix works alongside of dividends in the longer term? I think, it's a little bit premature. But we're not sitting there targeting a weak share price and saying, I'll just buy a whole bunch of shares on this day. In fact, the past 30 days, we've been in a blackout period. So we had to sort of just give a blanket order to the broker, buy shares and he couldn't control the buying of those shares. But again, I think we see it very much as a longer term tool, rather than targeting a weak share price. We know we're trading at a large, large discount to net asset value. And so we think even the shares that we bought at slightly higher prices than we are at now or still not accretive transactions for us. And we'll continue to evaluate the effectiveness of that program. But again, if you look at, I won't mention names -- when we look at, in particular, one of our larger peers in the sector who have had a very solid track record of share buybacks, really has taken a number of years, but the impact is quite meaningful. And I think that's kind of the approach we're taking. I'm not sure if that fully answers your question, but I think that's probably the best one I can give at the moment.
Teodor Sveen Nilsen: [indiscernible]
John Hamilton: Qazi, I didn't quite get it. Was there a discrepancy between the eventual revenue number and the one we had in our trading update? Q - Teodor Sveen Nilsen Yes, you announced some trading update first half revenue $135 million, which equals to $66 million revenue for second quarter and actually reported [indiscernible]. So there's probably something in that line that you didn't specify the notes. John Hamilton
Qazi Qadeer: Theodore, this is Qazi here. It's just the gross up presentation for the tax under the PSC for Dussafu. Basically for presentation purposes, appears in the revenue line as other income and basically goes as a tax line in the income tax at the bottom of the P&L. You will find that [indiscernible] statement doesn't include that number here.
Teodor Sveen Nilsen: Understood. That’s all from me. Thank you.
Andy Scott: Thank you. John, one final question has been submitted online. If there is any progress update you could provide on the application for an exploration right, onshore South Africa?
John Hamilton: It's a great question and we didn't mention anything in the presentation about it. It's going very well down there. We have the application for an exploration right. So as a reminder for people who have forgotten this asset that we have, we have an application for an exploration right in the Northern Karoo of South Africa. It's part of our commitment to the transition, looking at -- looking to displace these coal through methane gas that has helium associated with it. South Africa, this area is emerging as one of the global hotspots for the production of helium, which is held within methane gas. The helium is then stripped out and liquefied and sold at very, very high prices. And the gas is then used to put into the gas network in South Africa. It's very reliant on coal for its electricity production. So we're a very, very hot area. We've had an Australian company IPO off the back of assets just like ours recently with valuation of, I think, around $10 million. We're a little at earlier stage than they are. We have a much more mature company, which is a several hundred million dollars company, which is now in production of this. So we're still in a little bit of the early stages of this applying for the exploration right. And we're basically going through the environmental impact process, which is a sort of consultative process with landowners, with NGOs, with the regulatory authorities to ensure that our activities are going to be consistent with best practice in the area, which they will be, of course. And that process, unfortunately, just takes a little bit time. But the way we see this asset is very much -- you know, I don't think we're going to spend very much money, CapEx wise, on it, but we are incubating what we think is a very exciting little thing. And ultimately, we could combine that with some other businesses in the area. We could spin it out. Again, there's been a recent IPO of business there, that has a very nice valuation marker for this business, which I don't think is in anybody's calculations of net asset value for Panoro. So it's underway, but we need to wait for the environmental impact approval to come, which I expect will hopefully be in the months to come. So thank you all very much. If you had questions that were unanswered or that you think of afterwards, please do send us an email, investors@panoroenergy.com, we will endeavor to answer questions that we're able to. Sometimes we get questions that we're unable to do, but we will certainly look at all these questions and try and answer them when we can. And I thank you very much for your time today. Bye-bye.